Phillip Anthony Lindsay: Hello, and welcome to Technip Energies' financial results for the first half of 2025. On the call today, our CEO, Arnaud Pieton, will discuss our H1 performance and business highlights. This will be followed by our CFO, Bruno Vibert, who will provide more details on our financials. Arnaud will then return to the outlook and conclusion before opening for questions. Before we start, I would urge you to take note of the forward-looking statements on Slide 3. I will now pass the call over to Arnaud.
Arnaud Pieton: Thank you, Phil, and welcome, everyone, to our first half results presentation. I am pleased to begin with the key highlights. We delivered significant growth of 15% in revenue and 13% in EBITDA compared to the prior year. We also generated robust free cash flows that exceeded EUR 300 million. This strong outcome reflects the sustained momentum in our project delivery business, complemented by the successful execution of proprietary product installations within our TPS segment, Technology Products and Services. Our ongoing strategic focus on expanding our process technology and proprietary equipment portfolio will, over time, sustain these enhanced margins and reinforce our market leadership. Our consistent results despite a complex macroeconomic environment reflect the quality and dedication of our teams, who excel at delivering across our portfolio. On the commercial front, momentum in the second quarter improved versus the first, most notably due to a major project delivery award for the world's largest low-carbon ammonia facility for CF Industries in the U.S. This has contributed to our backlog, which at period end stood at EUR 18 billion, equivalent to 2.6x our 2024 revenues. This underpins the strength and sustainability of our business. Turning now to our execution, which remains our top priority for 2025 and the years ahead. Our project delivery portfolio continues to demonstrate strong performance. This includes our 2 LNG projects in Qatar, where as per the recent communication by QatarEnergy, the first train for the North Field expansion remains on track to come online by mid-2026. Alongside these achievements, we are diligently advancing a new wave of major projects. One notable example is a decarbonized power project, Net Zero Teesside, where detailed engineering is progressing well and initial site preparation activities are underway. In TPS, we have successfully completed the modification of Neste's existing renewables refinery in Rotterdam, enabling the production of up to 0.5 million tons of sustainable aviation fuel per year. At the same time, we continue to make progress with ethylene furnace deliveries across plants in Europe, the Middle East and India. This is providing a boost to our TPS margins. In summary, this has been a quarter marked by solid execution across our portfolio. Let me now provide an update on technology and innovation and how we are strengthening our portfolio. At T.EN, we are constantly scanning the horizon for promising ideas and early-stage technologies that can be implemented effectively. We achieved this by leveraging the strength of our people and laboratories and by partnering seamlessly across our innovation ecosystem, which spans start-ups, mature companies and leading universities. One of our defining strengths is our ability to test and develop technologies all the way from initial proof of concept in our labs through pilot programs and ultimately to full-scale commercial implementation in industrial plants. This is exactly the path that we have been on with Shell for carbon capture. It has led to the signing of an exclusive global alliance to deliver post-combustion carbon capture solutions. Our Shell ambition is to enable hard-to-abate industries to decarbonize more effectively and with greater certainty. Beyond our collaborative successes, T.EN is also advancing its proprietary technology portfolio. A recent milestone is the successful commercialization of our low-emission cracking furnace technology for the ethylene industry with our first award currently under execution for CPChem in the U.S. In summary, our approach to technology and innovation is enabling development at scale and enhancing overall economics. T.EN really is part of the solution. Before passing over to Bruno, I would like to highlight the significant progress we have made in diversifying our order intake, both by market segment and geographic reach. From the outset, our strategy has been to extend our leadership into new markets. Today, I am really pleased to say this approach is delivering tangible results, bringing greater balance and resilience in our order book. In the past 18 months, we have witnessed robust growth in decarbonization-related orders, which now represent nearly 40% of our total order intake, equivalent to over EUR 5 billion. These achievements include landmark contracts in the field of blue molecules and carbon capture, such as the already mentioned Blue Point Number One ATR project in the U.S. and Net Zero Teesside in the U.K. These major awards underscore T.EN's industry leadership in these new markets and reinforce our role as a key enabler in the global transition towards affordable, scalable decarbonization. Geographic diversification has also been a hallmark of our recent awards. Approximately 70% of orders over the last 18 months have originated from regions beyond the Middle East, demonstrating our expanding footprint, notably in the Americas and the U.K. And given the strength of our commercial pipeline and our competitive positioning, we anticipate that this balanced order intake profile will continue to be a defining feature of our growth going forward. I will now pass on to Bruno to discuss our financials.
Bruno Vibert: Thanks, Arnaud. Good morning, and good afternoon, everyone. Let me walk you through the highlights of our strong financial performance for the first half of 2025 on an adjusted IFRS basis. Our revenues increased by 15% year-over-year, reaching EUR 3.6 billion with growth driven by high activity on NLNG projects in Qatar and a new wave of projects that are ramping up. Recurring EBITDA rose by 13% to EUR 319 million with an associated margin of 8.7%. This was slightly down by 20 basis points year-over-year, reflecting a rebalancing in our project portfolio and higher corporate costs due to specific factors, which I will come on to address. This was partially offset by TPS margin expansion. EPS grew by 3% year-over-year, with strength in EBITDA and financial income, somewhat offset by higher nonrecurring costs, largely relating to planned investment in Reju. Again, I will address this later. Free cash flow conversion from EBITDA was very strong at approximately 100% and that drove nearly 35% growth in free cash flow year-over-year. This strength is illustrated in our net cash position adjusted for project-associated cash, which has grown to more than EUR 1.6 billion. In summary, we continue to deliver solid and consistent results in the first 6 months of the year. Turning to our segment reporting, starting with project delivery. Revenues have increased significantly, rising 24% year-over-year to EUR 2.7 billion, fueled by strong activity on LNG projects in Qatar and the acceleration of a new series of projects such as GranMorgu in Suriname and Ruwais LNG in Abu Dhabi. EBITDA and EBIT metrics also increased materially, both growing in the mid- to high teens. Margins experienced some contraction year-over-year, 50 basis points at the EBITDA line which is primarily a function of portfolio rebalancing with a higher proportion of early-phase projects for which we recognize limited margin contribution. Based on scheduled activity and milestones in the second half, we continue to expect a full-year performance to be in line with our guidance of around 8%. Finally, the backlog remains at a high level despite an adverse foreign exchange impact, enriched by the major award for Blue Point Number One ATR and providing excellent visibility. Moving to Technology, Products & Services. TPS revenues declined by 5% year-over-year due to a decrease in proprietary equipment contributions, partially offset by robust volumes in consultancy services and studies. As stated during the Q1 results call, the macro environment has impacted short-term FID momentum with some recovery anticipated in the coming quarters. Recurring EBITDA and EBIT margins, however, reached new highs in the first half with EBITDA margin increasing some 240 basis points year-over-year to 15.1%. This performance benefited from several factors, most notably the completion and delivery of ethylene furnaces in different geographies and to a lesser extent, catalyst supply and PMC activities. The strength in TPS margin year- to-date supports upgraded full-year guidance for the segment, which I will address shortly. Finally, while order intake has broadly kept pace with revenue so far this year, TPS backlog closed the period at EUR 1.8 billion, down 9% year-to-date, with some impact from FX again and the absence of material product awards. We remain optimistic about our TPS business outlook with strong engagement and tangible prospects across the markets. Turning to other key metrics, beginning with the income statement. Corporate costs for the first half of 2025 were EUR 33 million, somewhat elevated due to 2 factors that impact long-term incentive plans. First, the supplemental French social charges; and second, our share price, which has increased meaningfully. The aggregate impact of these items was EUR 12 million for the assessment of LTI. Even with some normalization expected in H2, it is likely that we will turn to the upper end of our full-year guidance range on corporate costs. Elsewhere in the P&L, net financial income remains very positive at EUR 51 million. That said, due to lower global interest rates, it is provided slightly less of an earnings tailwind in '25 versus '24. Based on prevailing rates, we see a continuation of this modestly downward trend in the second half. Nonrecurring expenses are materially higher year-over-year, acting as a headwind to EPS growth. Most of these costs are more about capital allocation in nature, with about EUR 20 million relating to investment in adjacent business models. Reju, our leading post-consumer textile-to-textile regeneration company has made very good progress on site selection, feedstock supply and product validation. Moving to our balance sheet. Our net cash position adjusted for project-related cash has strengthened year-to-date by around EUR 200 million to more than EUR 1.6 billion, providing us with capital allocation flexibility to seek value accretion opportunities. Now let's dive further into our cash flows. Free cash flow, excluding working capital, reached EUR 322 million, with cash conversion from EBITDA exceeding 100% in H1. This underscores the robustness of our operational execution and the positive impact of net financial income. Working capital has had a negligible impact year-to-date. While we do not anticipate any material change to this picture on a full year basis, the cadence of our second-half order flow will influence the outcome. Capital expenditure at EUR 34 million was slightly higher year-over-year with main items of spend relating to the ongoing expansion of our Dahej facility in India and the continued modernization of our global office network, IT equipment and systems. In May, we distributed EUR 150 million in cash dividend, which, as a reminder, was increased by 49% year-over-year, demonstrating our commitment to delivering long-term value creation for our shareholders. Lastly, it is worth noting that even after a foreign exchange impact of EUR 170 million, cash and cash equivalents ended the period essentially flat at EUR 4 billion. Before Arnaud discusses the outlook, let me detail our updated 2025 guidance. Based on the very strong margin performance in the first half of TPS, we raised this segment's margin outlook from approximately 13.5% to a new range of 14% to 14.5%. The first half performance clearly demonstrates that with the right mix, TPS can reach or even exceed the profitability that we earmarked for 2028 at our CMD in November. This is why we are strategically focused on growing organically and inorganically our process technology and property equipment solutions as over time, this will enable us to sustain these enhanced margins on a consistent basis. All other guidance items remain unchanged. I now turn the call back to Arnaud.
Arnaud Pieton: Thank you, Bruno. Turning to the outlook and beginning with a look into the dynamic U.S. market, which remains a strong growth opportunity for T.EN. Our strategy for expanding our U.S. market presence is unchanged. We leverage our differentiation, including modularization capabilities. We maintain strict selectivity when engaging on projects, and we do not take any in-country construction risk. The new administration has brought significant and ongoing changes. T.EN's agility and capabilities continue to position us well in this evolving environment. While DOE funding for some U.S. projects has been reduced or canceled, the impact on T.EN is immaterial. The Big Beautiful Bill Act maintains tax credits for pragmatic solutions in early stages of deployment, most notably for T.EN in carbon capture. This provides a level of certainty that makes CCUS more financially attractive and supports value chain development to turn CO2 into low- carbon products. It also encourages the development of blue molecule projects. Finally, lifting the LNG permitting moratorium has given greater certainty to our U.S. prospects, which have made good progress year-to-date on permitting, offtakes and financing. In summary, we continue to see significant prospects in the U.S. market for both TPS and project delivery, and T.EN is well positioned in LNG, blue molecule and CCUS markets. Turning now to the global LNG opportunity for T.EN. The LNG market remains buoyant owing to rising power consumption and the role of natural gas in balancing grid intermittency. And we see compelling opportunities for T.EN in the near, medium and long-term horizons. We are strategically positioned in the world's most active LNG regions. Today, the U.S., the Middle East and East Africa are leading the way. Additionally, we are closely monitoring and preparing for emerging opportunities in South America and Asia. Furthermore, our leadership in deep offshore floating gas liquefaction has once again been confirmed. Earlier this month, we announced a large contract for a floating LNG unit in Africa. This initial award covers only the preliminary activities with further order intake anticipated upon full contract award. And looking ahead, we are confident in our positioning for other important LNG awards in the next 6 to 18 months with the U.S. expected to be one of the most active regions. Before I conclude, let's turn our focus on the promising growth markets of blue molecules, carbon capture and sustainable fuels. The outlook for these markets remains highly positive with substantial expansion opportunities on the horizon. This is because across industries globally, there is a growing demand for delivering energy infrastructure with pragmatic and cost-effective decarbonized solutions. The market for blue molecules exemplifies this momentum. Japan and Korea, for example, will utilize such products to decarbonize existing infrastructure through co-combustion. I've already discussed carbon capture, which is gaining significant traction in sectors where decarbonization is essential, yet challenging. In sustainable aviation fuel, or SAF, we see regional mandates accelerating adoption not only across established pathways such as HEFA, but also through the emerging routes like alcohol to jet and e-fuels. Overall, these markets are evolving positively. The long-term growth trend is real and it's here to stay. T.EN is very well positioned, thanks to the breadth of our offering and adaptable execution models, and we see good potential for awards across these domains in the years ahead. So to conclude, we delivered a solid first-half performance with strong double-digit growth in revenue and EBITDA, while our free cash flow conversion exceeded 100%. The pace of project awards gained momentum in the second quarter compared to Q1 and the outlook for the balance of 2025 and beyond remains positive across our business segments. Our financial health is strong, underpinned by our backlog, our balance sheet and our cash generation. And T.EN is focused on delivering sustainable long-term value for our shareholders. With that, let's open for questions.
Operator: [Operator Instructions] The first question is from Sebastian Erskine with Rothschild Redburn.
Sebastian Erskine: I'll start just on TPS. Obviously, a very strong quarter for TPS margins despite the softness in revenue. You've upgraded guidance for the full year '25. But can you help us understand how you see the TPS mix kind of evolving over the medium term? I'm thinking about your 2028 guidance of 14.5% and kind of the read across as we move through the years. And then on the revenue, obviously, if I annualize your 1H TPS revenue, that would imply you're coming in at the bottom end of the range. So yes, I just get an update on that and how you see the puts and takes for TPS in the remainder of the year and going forward as well.
Arnaud Pieton: Thank you. Bruno?
Bruno Vibert: Okay. Sebastian, yes, a very strong quarter and first half of the year for TPS, notably when you look at the bottom line, as you mentioned. It really -- and Q2 was really a bit of a continuation of Q1 and what we said in Q1, which means some of the order intake, some of the top line was impacted by, first, the tailwind of proprietary equipment, furnaces, delivery contracts, which as they reach a tail end, were contributing less to top line, but with good delivery and performance were, let's say, giving an incremental delivery from a bottom line perspective. So it's really the tailwind from these basically contracts of ethylene furnaces notably plus consulting and higher value consulting, which have led to this margin. So as we project towards 2028, of course, this gives us first a confirmation that with the right mix of services and the contribution of differentiated proprietary solutions and equipment associated to our technologies, which historically has been notably around ethylene. Now of course, being diversified towards carbon capture, sustainable fuel and other technologies will help to get the 100% -- 100 basis points accretion that we've targeted at the CMD. So I think this shows us the way. Now shorter term, of course, as we would expect in the coming quarters to have a bit of a recovery, as I said, that should translate into a more naturalization. So that's why we can't maybe sustain from now on these much higher bottom line percentages like 15% EBITDA. But that, of course, will come with growing order intake and revenues in the coming quarters as some of these new orders materialize and the ramp up, notably, for instance, on carbon capture projects and then the early signs also of ethylene recovery, which have been down for a couple of years. So very good performance in H1, absolutely confirms the medium-term, long-term outlook that we've outlined at the CMD. And of course, from this point of H1, we do expect in the coming quarters to see a bit of a recovery there.
Sebastian Erskine: I'd love Arnaud, just to get your thoughts on the U.S. side. I mean you're very constructive on that market ex LNG, but you did highlight those developments, namely the kind of acting of DOE funding and the phasing out of the Section 45V clean hydrogen tax credit. Could you help me kind of square that in terms of why you remain so constructive on that market on kind of blue molecules and CCUS within the U.S., despite the changes?
Arnaud Pieton: Yes. So the -- I think with everything that has been published, the -- we need to look at what has been released with a little bit of nuance. So the DOE's decision will impact each project very differently from marginal impact to something more severe, sometimes if the decisions are upheld and we actually have a few projects for which some of the decisions could be reversed. But it's also worth noting that the situation is really nuanced in a sense. And therefore, we should not jump to conclusions based purely on headlines. So if we take, for example, the Exxon Baytown project, the DOE grant related only to fuel switching scope was challenged and revoked, if I may say. But for the rest, actually, the rest of the announcement, including the, I would say, extension of the validity of the 45V to 31st of December 2027. As a reminder, there was a case where it could have been stopped at 31st of December 2025. So some of the decisions are actually supporting the FIDs and actually reinforcing the credibility of FID for those low-carbon projects or low-carbon associated projects in the U.S. So all in all, again, it needs to be looked at on a case-by-case basis and in a nuanced manner because -- and looked at beyond headlines. The 45Q also on carbon oxide sequestration credits really confirms the tax rate values for capturing CO2. And that is definitely helpful for the type of products that we are pursuing in the short term. So I would say the extension, I would say, from what could have been the 31st of December 2025 to now the 31st of December 2027 for the 45V and the confirmation of the 45Q is enough to actually allow for the main prospects that we have to move ahead. So that's why we are -- and we continue to be positive about the outcome and the prospects along those lines in the U.S. for T.EN.
Operator: The next question is from Guilherme Levy with Morgan Stanley.
Guilherme Levy: I have 2 related to new FIDs, if I could. If you can -- on the U.S. LNG prospects, just remind us of the timing that you are working on. I believe that you were finalizing the price refresh exercise for both Commonwealth and Lake Charles. So any particular risks that we could see from here in terms of further delays of those decisions or if you are quite comfortable with, well, a timeline of the coming months for us to see FID there? And then on Coral, I was a little bit intrigued by the fact that we have not seen a full FID yet. So I just wanted to pick your brain on why do you think that is? And when do you expect a full FID...
Arnaud Pieton: Thanks, Guilherme. Okay. So the 2 primary LNG prospects in the U.S., I will start with Commonwealth. We -- and you know -- I mean, we communicated on Commonwealth during Q1. So we completed the price refresh. I insist on that because I know everyone is very, I would say, impatient about FID being reached on Commonwealth LNG and Lake Charles LNG. And so are we to some extent. But what is more important than a quick FID, it's the quality of the FID. And that's why we stay true to our disciplined approach, and it was and it is important to embark with our customers on those price refreshes on projects that are very important by nature, but also in terms of size for any company that would be undertaking those projects. So on Commonwealth, we have completed the price refresh, and we've communicated the -- all relevant information to the customer, and we continue to progress with them towards finalizing an EPC contract. The Commonwealth ambition is the one they've declared publicly. So I won't comment on that. We don't, at Technip Energies, control the FID. What is important, I will repeat, is that we stay very disciplined in our approach. We have been complying with this rule for the past few months, despite, I would say, a very pressing demand by the market or some around accelerating. It was important for us to actually conduct that exercise very carefully and properly and in depth. This has been done. Now it's up to the next phases, and it's really in the hands of our customers. But we feel confident that everything that -- all the building blocks that are needed leading to an FID are, I would say, in place. Same exercise for Lake Charles. The price refresh is still ongoing, nonetheless. We have not totally completed the exercise. We started it just at the time of the Q1 earnings. And I indicated at the time that it would last about 4 months. So we are still in that phase and engaging with the customers with the early findings. They are like for every market evolution, some ups and downs, and we are reconciling all that. But there again, we are feeling confident about the, I would say, the overall budget of the project. And -- but FID remains in the hands of our client. But again, a disciplined approach and I would say, a reasonable level of optimism around an FID date or as the minimum around limited notice to proceed within the year. So that's for LNG prospects in the U.S. On Coral Norte, well, you're the one calling it Coral floating as Coral Norte. We have called it a floating LNG prospect in Africa. Yes, the work is progressing. There are a few things that are probably missing on the client side, on the Eni side for them to take a full FID, but it's probably more something that is administrative in terms of what needs to happen in the country than anything else. The important for us is that the work is progressing as if, I would say, a full FID had been announced. So the fact that we are announcing partial or some form of limited notice to proceed is very positive. And what I can share is that from our standpoint, the work is progressing as if full-blown, as if a full FID had been taken. But it's really, again, this last FID stage is, again, something that we don't control that only Eni is controlling.
Operator: The next question is from Guillaume Delaby with Bernstein.
Guillaume Delaby: Maybe I would like to come back again on the North America scene. Arnaud, I would like to have your reading about the commercial agreement between the U.S. and EU. According to my calculation, it could mean 55 million tonnes per annum of additional LNG supply. So what is your reading? Does it mean that in terms of future LNG projects, there was, I would say, the bullish view until, I would say, last week and the very, very, very, very bullish view, which is now in other terms, I'm going to use a root term, should we expect some kind of an LNG bubble in 2026, 2027, 2028 in North America? And the question I have as well is, could you remind us about your own in-house capacities in terms of how many LNG projects you can handle together?
Arnaud Pieton: Thank you for the question. So our reading on the U.S., EU agreement, well, you're doing the calcs and you're really good at it. So obviously, we are, I would say, aligned with your analysis. The one thing I need to remind everyone and ourselves, including our own people sometimes is that LNG projects are long-term projects. So an agreement -- any agreement that is about commercial -- I mean, purchases of LNG for the next 3 years will not materially impact the future for Technip Energies. So there is a high demand for LNG with or without a deal between the U.S. and EU and the prospects and projects on which we are engaged, Commonwealth and Lake Charles are prospects which if they were to reach FID in the next 12 months would be on stream 4 to 5 years later -- I mean, after FID. And so probably would not fall within the agreement that we -- that has been signed between the U.S. or announced between the U.S. and the EU. Now what it does, nonetheless, it just -- again, it confirms the demand for LNG and the fact that gas will continue to play a very important role in the energy mix going forward. And that is what matters to Technip Energies. So it comforts our positioning for the medium term, certainly. A bubble, for sure, there's a great deal of activity in North America, and they will continue to be. And that's why our execution model is important because we are not dependent -- or not so dependent on the U.S. construction resources availability to deliver our projects. They are highly modularized, if not fully modularized. Therefore, we are protecting ourselves against any form of LNG bubble from a resource allocation standpoint in North America. And that's part of our very disciplined approach to this market that is or can be considered as a heated one in the current environment and for the 2 or 3 years to come. In terms of our capacity to execute, well, I would say, when you look back at the past, I would say, 12 to 18 months, -- our latest award on LNG is over a year old. So we have not been embarking on new LNG projects in the past 14 months. We have some projects that are really reaching the tail end, such as Sempra ECA in California, for example. We have one LNG project that is replicated from Basswan. Therefore, no engineering is needed, and that's the floating LNG. So really, in terms of capacity, I would say it's coming at a very good time, 14 to 16 months, depending on when the FID would be reached, but let's say, 14 to 18 months after the most recent award for us. So it's really a good time for engineering capacities. And as a reminder, if Commonwealth was to reach FID. Well, this project is based on our SnapLNG concept and SnapLNG, which is fully modularized was pre-engineered as well. So there's a lot of the engineering that is already handled through, I would say, by design by the concept itself. So we can comfortably sustain Commonwealth and Lake Charles if they were to reach FID in the months to come.
Operator: The next question is from Victoria McCulloch with RBC.
Victoria McCulloch: Firstly, on your Shell Global Alliance, can you just remind us how this is different from the previous agreement you had? And does this represent a larger opportunity? And then ex the U.S., when we look at the LNG opportunities, can you give us a bit of color as to how, if at all, this -- the opportunity has changed since we last sort of talked at this at length at the Capital Markets Day. Have you seen an acceleration in different geographies, which it sort of appears like to be from the math on Slide 18 and how your customers are behaving? Has there been a change this year that you've seen as a result of the sort of turbulent macroeconomic environment?
Arnaud Pieton: Thank you, Victoria. So let's start with the -- your question on the Shell Global Alliance. So this alliance, we announced it last year, actually. And it's now progressing in the sense of the teams forming, resources being allocated and joining being formed, et cetera. So what we've announced recently is really, first of all, the global nature of the alliance and the confirmation of its exclusive nature for this post-conversion carbon capture prospects, markets and opportunities. As a reminder, we are leveraging Shell CANSOLV technology, which we are commercializing jointly and productizing through Technip Energies. So it's -- we go deeper. The latest announcement is very much signaling the fact that we've taken this alliance, I would say, to a pre-JV situation. And so we're not at a JV level yet. We will continue to monitor the market and a JV could be if we decide that the market is present and it's worth doing it, the next step. But there's quite a promising future for CCUS. It's making projects more investable. And the reason and the purpose of this alliance is exactly that one. It's to make project more -- I mean, CCUS project more investable, okay? There will be -- and I can't repeat it again, there will be no adoption of the low-carbon solutions if they are not affordable. So bringing Shell and Technip Energies together, it's really to have a CCUS solution that is more vendor-adapted. It's to offer more value creation by standardization and replication. It's to have a proactive technical service attached to the carbon capture because carbon capture will be sold to people who are not necessarily refineries, operators, et cetera, and they need to be supported. So the recent spending reviews, for example, in the U.K. and the announcements welcome CCUS. It's very positive. It confirms the U.K. government's commitment to CCUS with dedicated funds and Technip Energies and Shell together we are involved on the most promising prospects in that country alone, for example. So it's really taking this alliance further. We go deeper and again to a pre-JV situation. I'm sorry, I'm losing my voice. On the LNG opportunity outside of the U.S. Well, we -- there are geographies outside of the U.S., East Africa, for example, but also as well in the Middle East, where prospects are real. Exxon, we still engage with Exxon on the Rovuma prospect for Mozambique. As a reminder, it's highly modularized and therefore, it falls squarely into our avenue. It is competitive. So it's a feed competition, and we continue to be engaged with Exxon. So I cannot preempt the outcome of this prospect, but it is one that is very live and very active. And early 2024 as well, just to limit it to 2 examples, but we have a few more. QatarEnergy announced the launch of NFW, the NFW prospect there as well. Without preempting the outcome, I can only share that as we like it to be, we are engaged in the early definition of the project with the customer. And we probably have a unique position as being the incumbent on NFE and NFS. But again, it's going to be and it is a competitive process. What matters to us is that we are the incumbent, and we are engaged with the client on the early definition of this contract in the geography we know really well, obviously. So I'm only taking 2 examples, but there are 2, 3 more that we could discuss that are real for, I would say, 2026 and beyond.
Victoria McCulloch: And if I could ask a follow-up to Bruno. Can you remind us what the CapEx spend is expected to be for the full year?
Bruno Vibert: So CapEx was slightly up year-on-year, but actually, last year, H2 was higher due to our regeneration hub, which was mostly built in H2. So you should see a bit of a continuity of the trend that we had in H1, but we don't -- you should not expect an increase.
Operator: The next question is from Jean-Luc with CIC.
Jean-Luc Romain: You have a successful cooperation with Shell Catalysts & Technologies on the CANSOLV technology. Within the Shell Catalysts portfolio of technologies, are there technologies which could be interesting to Technip?
Arnaud Pieton: Luc, Well, catalyst is always -- I don't know by heart the Shell Catalysts catalog. But for sure, when we talk about technologies, well, it starts with a catalyst for Shell CANSOLV, the engagement started because -- well, it's an amine, so it's a catalyst that is a base to any product development attached to the CANSOLV technologies. So with Shell, we are leading the industry in deployment of projects at scale, but it starts always with a catalyst. So the catalyst is a precursor, and I would say the necessary element to any product development or solution development. So it's -- yes, there might be -- I'm sure there are in Shell Catalysts, some interesting other products, but they are Shell's property. And we have a unique, I would say, reach to now discuss what else we could be doing with some of the Shell Catalysts. The catalysts are also important, and we have some designed by Technip Energies, for example, on our Hummingbird technology on the alcohol to jet fuel solution, for example. There again, the precursor to the Hummingbird technology is the catalyst. And in this case, it's a Technip Energies-owned catalyst. So the catalyst in our world is, I would say, the main brick and the main precursor to any product development at scale. And therefore, I would say, an area of interest for Technip Energies, an area of investment as well. It was -- Hummingbird is an investment. Reju is also based on catalysts and the investment into catalyst with IBM in this case. So catalysts are areas where we are investing and we will continue to invest.
Operator: The next question is from Bertrand Hodee with Kepler Cheuvreux.
Bertrand Hodee: First question is for Bruno. On the adjusted net cash position, as you now disclose it and with the NCL debt component, you -- the calculation shows that it goes from above EUR 1.4 billion at year-end 2024 to above EUR 1.6 billion, so an improvement of EUR 200 million. But when I do my calculation that excludes obviously project contingencies that you don't disclose, it was down by around EUR 100 million. So it looks to me that project contingency has increased significantly year-to-date. By probably around EUR 250 million, which is a good thing and bodes well for future margin. But maybe, Bruno, can you expand a bit on that matter?
Bruno Vibert: Sure. Bertrand, maybe I won't go into the full details. Otherwise, we will both lose everyone on the call. So I would say, first, of course, kind of it's a lot of different factors. And to some extent, there is a bit of a proxy way to get it, plus rounding. Are we comfortable about the contingencies that we have on the project? Yes, absolutely. And as we say -- and just the offset of we have less contribution from margin recognition on early-stage project means that we are not recognizing the full extent of the margin on those projects. And for those very early-stage projects, of course, we are kind of depleting a bit of backlog while keeping the contingency. So of course, mechanically, this has slightly of an impact. Beyond that, I would say, and this is why as we factor it, this has a positive contribution. Also, there is when you have a mix of both net contract liabilities and the accounts receivable, part of accounts receivable may be associated with this net contract liability sometimes may not for services. So depending on some of the mix between accounts receivable, you may have 0.1, 0.15 or something different from the movement from one period to the next, plus a bit of FX also as the last component. So I think maybe for the first time, we were slightly off, I guess, a bit of accounts receivable split, some for sure, TC and contingencies and project margin in backlog plus a bit of FX, I would say that would be the 3 main bridge components.
Bertrand Hodee: Okay. And then the second question is relating to, I would say, new projects that have emerged surely over the last 12 months, which is Argentina LNG, which potentially my understanding is that in the first phase, it will be 12 million tonne through multiple FLNG facilities. Eni at its last conference call detailed a very aggressive timeline with a potential FID as early as Q1 '26. So the question is, first, are you engaged in this project? And can you share with us how many floaters could that be -- could this involve? And where do you stand on the, I would say, front-end engineering and design or pre-FEED stage?
Arnaud Pieton: So yes, we are somewhat engaged on Argentina LNG, and we became more engaged since Shell joined the venture, if I may say, with YPF. And we are basically at the stage of responding to a tender with a 10- to 12-month FEED work scope that is to be concluded by the mid of 2026. So I've listened to and read some of the transcript related to Argentina LNG by Eni yesterday. There are so many -- I mean, many different scenarios and phases from offshore versus onshore for Argentina LNG. So we are involved. We are not involved for floating units that would have an FID by Q1 2026. I mean this is not -- our time horizon is not that one. So I'm not quite sure what the scenario might be for Q1 2026 FID. Our timeline is a bit further down the road. Now there are scenarios which we can imagine with nearshore LNG and units that are a bit less sophisticated that could actually lead to an FID into -- I mean, early into 2026. Maybe this is what Eni I have in mind, but that's not the primary focus for Technip Energies. We are competing for a FEED that would last 10 to 12 months.
Bertrand Hodee: Okay. So in fact, that explains probably the difference in terms of timeline expectation. It is you are not involved in the initial, I would say, 12 million tonnes that will be made of floating LNG units. You're not running for that part of the project.
Arnaud Pieton: We are running for some floating, but it looks like, yes, maybe not for that part. And I do have a question mark myself because 2 units or 2x6 to make it to 12. I mean you're talking very, very significant sizes. As a reminder, Coral, okay, it's not nearshore, it's deep sea, but Coral is around 4 MTPA. So we're talking very significant capacity. So okay, yes. So clearly, no, we are not part of the 2x6 making 12. No, we are on other phases.
Operator: [Operator Instructions] Mr. Lindsay, there are no more questions registered at this time. The floor is back to you.
Phillip Anthony Lindsay: Thank you. That concludes today's call. Please contact the IR team with any follow-up questions. Thank you, and goodbye.